Operator: Greetings and welcome to the Gulf Resources 2019 Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Ms. Helen Xu, Investor Relations Director. Thank you. You may begin.
Helen Xu: Thank you, operator. Good morning ladies and gentlemen and good evening to those you, who join us from China and we'd like to welcome all of you to Gulf Resources second quarter 2019 earnings conference call. My name Helen, the IR Director. Our CFO of the company Mr. Min Li will also join this call today. I will be opening translation for his comments for company's operating results during the Q&A section. I would like to remind you to all our business that in this call certain management statements during the call will contain forward-looking information about Gulf Resources Incorporation and its subsidiaries business and products within the meaning of Rule 175 under Securities Act of 1933 and Rule 3b-6 under the Securities Exchange Act of 1934 and are subject to the Safe Harbor created by those rules. Actual results may differ from those discussed today taking into account a number of risk factors, including but not limited to, the general economic and business condition in China, future product development and production capabilities, shipment to end customers, market acceptance of new and existing products, additional competition from existing and new competition from the bromine and the other oilfields and the power production chemicals, changing technology, the ability to make future bromine assets, and the various other factors, beyond company's control. All forward-looking statements are expressly qualified in their entirety by this cautionary statement and the risk factors detailed in the company's reports filed with the SEC. Gulf Resources assumes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. According to our company's beliefs expectations reflected in these forward-looking statements are reasonable and there can be no assurance of such will prove to be correct. In addition, any reference to the company's future performance represents the management's estimates as of today the 15th of August 2019. For those of you unable to listen to the entire call at this time, a replay will be available for 14 days at the company's website. The call is also accessible through the webcast and the link is accessible through our website. So please locate our press release issued earlier for the details.
Min Li: [Foreign Language] Hi, everyone. Thank you for attending -- thank you for attending Gulf Resources 2019 second quarter earnings conference call. I am the CFO, Mr. Min Li. The past 18 months were extremely difficult for us. Now we are beginning to get our major facilities back in operation and are very excited about our business. During the second quarter, the government of China continued to take steps to increase the environment by ensuring that industries such as chemicals, mining and natural gas operated in a manner that maximized [indiscernible] and minimized damage to environment. The government regulation required a substantial amount of work from the company and its competitors. [indiscernible] that a large percentage of the factories and mines may not receive the required approvals to be opened. However, the government believes this is the only way to ensure the future health and safety of its residents. We believe the government is taking the proper steps to protect its resident and the new environment. We understand it's a complicated issue. We are very pleased to have been able to open our two largest bromine and crude salt facilities. Our new equipment is functioning well and we believe we will continue to carefully ramp up production in this quarter. We also believe we will receive approvals in some of our other bromine and crude salt facilities in the future. We are confident we will receive approval from the government to be an e-commerce operation in our new chemical factory. Although, we cannot predict timing of such approvals, we also believe it will receive approvals to continue our production of natural gas and brine water projects. Our financial strength remains very strong. We have $3.40 per share in cash. Our cash minus all of our liabilities is to be $2.51 per share even after our major investments. We have begun production and are approaching in breakeven. We expect to be profitable in the near future. It has been a long and a frustrating process. But we are optimistic about the future.
Helen Xu: [Foreign Language] Okay. Thank you Mr. Li. And thank you for also to attending our second quarter earnings call of the financial and operating results, which has included, yes the answers to most of the fantastic questions we have received from investors. In this quarter, we [indiscernible] our natural gas well in Sichuan and opened our two largest bromine and crude salt Factories number one and number seven. For the second quarter 2019 compared to the same quarter of 2018, firstly, the net revenue was approximately $6 million as compared to $4,000. Gross profit was approximately $30 million as compared to around $4,000. Direct labor and factory overheads incurred during plant shutdown were approximately $2.9 million as compared to $5.7 million of last year. General and administrative expenses were approximately $1.3 million as compared to $1.1 million in last year 2018 second quarter. The loss before taxes was approximately $1.1 million compared to approximately $6.7 million. Net loss was $733.700 as compared to around $4.8 million. Earnings per share were a loss of $0.02 versus a loss of $0.10. Cash and cash equivalents were around approximately $160.4 million compared to $179 million. Cash per share was $3.40 against $3.82. Net-net cash per share, which is cash minus all liabilities, which is $2.51 from this quarter of 2019. Book value per share was $6.10 for the second quarter of 2019. Now let's recap by segment. Firstly, let's look at bromine and crude salt. In April as we discussed the company had opened Factories number one, number seven is a company shop of number five and number seven. These are our two largest factories accounting for approximately 43 percentage of our total capacity because of equipment and lease. And we are on track so we are moving very carefully including our production. To date, we are very pleased with the performance of our new machinery and equipment. We will increase our production flow out the remainder of the year and should be producing at full production by year-end. But August is dependent upon the flood situation which just happened a few days ago. During the six -- first six months of 2019, we invested $39.6 million in property, plant and equipment. The major portion of this investment was for the new drilled bromine wells to increase the productivity of facilities to ensure the level of profitability in the future and was not related to the rectification processes. Even with only two sections opened and [indiscernible] possibility of a low level bromine still had revenue of approximately $5.7 million. The price of bromine continually remains at a high level. At the current time, the price is approximately RMB 33,000 per tonne include VAT. The closure of many mines and declined RMB against other currencies should keep the price at elevated level. The company continues to believe that the bromine and crude salt business will become quite profitable. The gross profit margin for the bromine segment was 53 percentage a very high attractive level. As the new ramp up productions will be reached in the next quarter, we expect to achieve substantial levels of profit [indiscernible]. As loss from operation was approximately $36.700 compared to $5.6 million last year's second quarter. As you can see our bromine business is very [indiscernible] bromine prices in China remain very strong. At this time, we are approximately -- with the closing of most of the bromine factories, there is much less supply as the decline in the value of RMB per dollar in spot price are very high. Crude salt revenues were around $245,000. The loss from operations was about $828,000 as compared to $1.7 million. Because of the timing of opening of Factories #1 and #7, our crude salt production lagged our bromine production. However, we expect it to ramp up soon. We have completed the rectification of our remaining factories #2, #8, #9, and #10 under subdivision Factory #1; we do not expect to have to conduct any further rectification. The remaining issues make to approval for project approvals, planning approval, land use rights approval and environmental protection assessment. We cannot determine the timing for the approvals of other Factories. However, we have been working closely with the government and we believe we have taken appropriate steps needed to obtain final approvals. We are optimistic about that these factories will eventually get an approval. The land for those smallish factories has been returned to [indiscernible] we made excellent acquisition opportunities, but we are not going to make any acquisition until we have most of our remaining facilities open. In addition, we will not make any acquisitions unless we are certain we will receive full approval for operation. Now, let's look at chemical products. We are waiting for government to approval for our new chemical plant. To-date we have invested approximately $11 million for a 50-year lease of a parcel of land and design of the new chemical factory. While we are confident we will receive approval to build this factory we cannot provide any guidance about the timing of this approval, the construction or the beginning of the production. Once we receive full approval, we will update investors with the new timeline. Now, let's look at natural gas segment. On May 29, 2019, the company received a verbal notice from the government of Tianbao Town in Daying County, Sichuan Province that the company will be required to obtain project approval for its well including the natural gas and brine water projects and approvals for safety production inspection, environmental protection assessment, and related land issues. Upon receipt of this notice the company halted trial production of its natural gas well in Daying County. The company now currently has been working closely with the local government in Tianbao Town and Daying County to meet the new provincial regulations. The local and county governments have been very supportive, but the company still needs provincial approval. The company is confident that this approval will be obtained. In addition, the company believes that approval will provide the ability to drill more than one well. However, at this time, there is no way of knowing when all of the approvals will be received and production will commence. During the quarter, we had minimal revenue and a small loss in our natural gas segment. Balance sheet. The company ended the quarter with cash and cash equivalents of approximately $160.4 million. Cash per share was $3.40. Net-net cash per share was $2.51. Book value per share was $6.10. Now, let's look at the discussion about the company's share price. The company is very disappointed in the current price of the shares. The company fully understands the reason for the low price. We thought our facilities would be open soon. As such the government has scheduled a final plan only to lend that more strict requirements will be put in place. [indiscernible] our facilities were all currently open, but we're still in the [indiscernible] necessary to meet the government requirements and to ensure that our facilities will be producing at high levels when they are opened. We'd like to take some of our capital and buy back shares at the current price, but we cannot get money out of China at the present time. Our Chairman Mr. Yang is still committed to decide shares and he is also start [indiscernible] to get to the own money out of China, but he's trying to consider other ways to do the buyback. We also know that we had to fill our open director – independent director's position to satisfy the requirements of NASDAQ. We are currently working to add an independent director and will take other necessary steps to ensure we meet NASDAQ's listing requirements. We will try our best – we will try to do our best to meet the requirements of NASDAQ. Now, we are open for the call for discussion. Helen Xu, can we open a Q&A section?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Massimo Fiorala [ph], who is a private investor. Please proceed with your question.
Unidentified Analyst: Yes, hello. I have three questions basically. The first one is about NASDAQ listing, the second one about cash and the third one about negative enterprise value. I will start with the first one. As you mentioned before on 28th of June, you have been notified that you are no longer in compliance with NASDAQ independent directors an audit commitment requirement and you have time until October to get compliant. Above all, you are also no longer in compliance with $1 to price since shares listed NASDAQ should have a price of stock above $1 to be listed. I would like to know, what will be your action to get compliant about these points? And for you it's very important that you will be NASDAQ listed in long-term and you consider it as a priority.
Helen Xu: [Foreign Language] I take the response from the CFO Mr. Min Li.
Min Li: Firstly, regarding the listing company director comment company as we discussed in the script before earlier company is looking forward and working on to satisfy this requirement from NASDAQ. Secondly, regarding if there is a price of stock is below $1. And there is the requirement from NASDAQ. NASDAQ will send the company notice letter first of all and company is able to do to satisfy its requirements, but until now we did not receive any letter yet from NASDAQ. Once we have any news we will let our investor know at the first time.
Unidentified Analyst: Okay. My second question is about cash. This quarter Gulf Resources is close to breakeven. And so probably in the next quarter, you will probably restart to post profits and cash flow, since you went back to production. In the last year, you have correctly invested money, rectification and improvement. But now you have again $160 million in cash and you are back in production. I ask you to commit part of this cash to buyback program and/or dividends, obviously, buyback program in open market. So price of share will increase above $1 and you will also resolve the NASDAQ listing issue. You will boost confident in investor, if you, for example, commit only 1% of your total cash in buyback program on open market, it will be only $1.6 million. It doesn't change anything on your investment plan since $1.6 million is a very low amount compared to $160 million that you have in cash. And today a very low valuation with $1.6 million you will buy 3% or 4% of the total share of the company since GURE as of now is trading at the value of $40 million equity value. So I want to get some clarification about these points.
Helen Xu: Okay. This question we have been always discussed during every quarter of our call -- earnings call. The company would like to take some of our capital and buy back shares at the current price, but now we -- very hard to get money out of China at the present time due to Chinese policy and government regulation. Our Chairman Mr. Yang who before did announce is buy back shares. And he's still committed to these buyback shares. But he's also suffering difficulties to get his money out of China. But he's trying to consider other ways to do the buyback which we cannot disclose too much about it now. Once we have this now decided how to do it we will let investor know and once we buy back shares.
Unidentified Analyst: Okay. That one is clear. But above all you have $160 million in cash also if you did only $1 million that is not a big amount to take out of China. It will be good because $1 million is 2% of share -- total shares. So I will think that this one would be very good. If you take out only $1 million that is not a very good -- a very big amount it will work. And the third question…
Helen Xu: No. It's not become about the amount, it's become -- it's due to the reason what this money is for. And we had complete the application to government and banks and they need to approve it.
Unidentified Analyst: Okay. And the third question is about the as of now. You are a negative enterprise value. So I wanted to comment something about it because as of now you have $160 million in cash and all the company Gulf Resources including in cash is trading at $40 million. So it means that the market is evaluating the activity of all the company minus $120 million. So I want that you please do some comment on this one because it's very strange situation and Gulf Resources is the only company that [indiscernible] the production valued by the market minus $120 million?
Helen Xu: Yes. We understand that the company's stock has been really devalued. And we also want to come to its devalued price which can correctly present the company's situation. But currently like we said if we will announce any buyback or any paid dividend then we are committed to do it. But the company is suffering difficult to get money out of China. We want to do what we promise to our shareholders.
Operator: [Operator Instructions] Our next question comes from the line of Charlie Cheever [ph] with Cheever Partners [ph]. Please proceed with your question.
Unidentified Analyst: Yes. Can you tell me a little bit more about the -- on the chemical product, you spent $10.9 million for a 50-year lease?
Helen Xu: Yes.
Unidentified Analyst: Was there any money spent on construction or purchase of property or is it just a lease?
Helen Xu: No, not yet. Until now the company lease this land, have land for 50 years. And we've got the approval for the event of the chemical factories. But we are still waiting for the approval to build these facilities. So that's why we did not have expense yet on the construction.
Unidentified Analyst: Okay. But the $10.9 million did that go to the property? Is it owned by any insiders, or is that completely a third-party transaction?
Helen Xu: No. It's a government chemical move that comes together.
Unidentified Analyst: So that property is owned by the government?
Helen Xu: It's like area commonly -- government designed it for all chemical factories to be there.
Unidentified Analyst: Okay. My next question is you're saying that you cannot do a stock buyback because you cannot get money out of the country and you cannot do a dividend because you cannot get money out of the country. Is that correct?
Helen Xu: Yeah, we have difficulties. Yeah we are having difficulties not -- China.
Unidentified Analyst: Okay. My third question is the bromine that's being imported from outside the country, which country is that mostly coming from?
Helen Xu: Sorry?
Unidentified Analyst: Okay. China's importing bromine a lot of it. And the question is where is the bromine coming from? Is it coming from Israel or South America or Australia?
Helen Xu: U.S. and Israel these two major places. But China is not importing pure bromine. It's importing the downstream products, which make from bromine.
Unidentified Analyst: Okay. And then what percentage of the bromine capacity for all of China what is the capacity utilization at this point?
Helen Xu: Sorry, we don't have this analysis now, statistics now.
Unidentified Analyst: Okay
Operator: Thank you. Our next question comes from the line of Randolph Leggett [ph], who is a private investor. Please proceed with your question.
Unidentified Analyst: Hey, Helen. Thank you for your conference call.
Helen Xu: Hi, Randolph.
Unidentified Analyst: How are you doing? Hi. Let me ask you a quick question. Why is the company so adamant about not partnering with somebody on the natural gas deals? Just seems like that's such an opportunity. And I know you all are having problems right at the moment, but why are we not looking at a bigger company to help us get that advanced?
Helen Xu: Okay. I will ask about these questions for Mr. Min Li, okay.
Min Li: [Foreign Language] First of all, we don't think our natural gas is having any difficulty. We think we can handle all the cash and the commission projects by ourselves. Secondly, if there is some really strong partners who want join that's okay. We can access the -- we can consider about it. And currently there is no -- at the beginning of this project there was some potential but the discussion was not going well. Currently there isn't any possible partners.
Unidentified Analyst: Okay. One other quick question, Helen. Did you all ever get any indication on how big that deal might be by doing all this testing? And I know you -- I think you had a university help you all look at that.
Helen Xu: You mean the field, the natural gas field?
Unidentified Analyst: Yes, ma'am.
Helen Xu: Our project, of course, about this at very beginning of this natural gas project. I think, I have to go back to check about it.
Unidentified Analyst: Okay. I'll just send you an e-mail.
Helen Xu: To give you exactly number yes, yes.
Unidentified Analyst: Okay. Thank you. I'll send you an e-mail. Thank you.
Helen Xu: Okay. Thank you. Thank you. [Foreign Language] Yes. Hi. You know, we have had company study to be able to kind of give you now exactly how big the deal, but we should have a press release of our internal vision for that project.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Rob Dujera [ph] who is a Private Investor. Please proceed with your question.
Min Li: [Foreign Language]
Helen Xu: [Foreign Language]
Operator: Rob, please check if your line is on mute? There are no further questions at this time. Helen, I'd like to turn the call back over to you for any closing remarks.
Helen Xu: Okay. Thank you. [Foreign Language]
Min Li: [Foreign Language]
Helen Xu: Okay. Thank you very much for all to attending our call and for the support in the company. Thank you very much. Have a good night and have good day. Thank you. Hi operator, I think, we can close the call for today.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.